Operator: Thank you for standing by. This is the Chorus Call conference operator. Welcome to Black Diamond's First Quarter 2021 Results Conference Call. As a reminder, all participants are in a listen-only mode and the conference call is being recorded. After the presentation, there will be an opportunity to ask questions. 
Jason Zhang: Thank you, operator. Good morning and thank you for attending Black Diamond's first quarter 2021 results conference call. With us on the call today is our CEO, Trevor Haynes; and CFO, Toby Labrie. We're also joined today by COO of Modular Space Solutions, Ted Redmond; and COO of Workforce Solutions, Mike Ridley; as well as CIO and EVP, Patrick Melanson. Our comments today may include forward-looking statements regarding Black Diamond's future results. We caution that these forward-looking statements are subject to a number of risks and uncertainties that may cause actual results to differ materially from expectations. Management may also make reference to non-GAAP financial measures in today's call such as adjusted EBITDA or net debt. For more information on these terms, please review the sections of Black Diamond's first quarter 2021 management's discussion and analysis entitled forward-looking statements, risks and uncertainties, and non-GAAP measures. This quarter's MD&A, news release and financial statements can be found on the company's website at www.blackdiamondgroup.com as well as on the SEDAR website. Dollar amounts discussed in today's call are expressed in Canadian dollars, unless noted otherwise and are generally rounded. I'll now turn the call over to Trevor Haynes to review the quarter.
Trevor Haynes: Thank you, Jason. And good morning and thank you for joining us to discuss our first quarter 2021 results. We've had a strong start to the year and I'd like to thank all of our team members for their hard work and resiliency in the face of some increased pressures from the COVID-19 pandemic. We have continued to execute on our plan to grow and diversify our business and believe the first quarter results are yet another positive data set demonstrating our progress in this regard. Highlights include another record quarter for rental revenue generation in our Modular Space Solutions business unit, record booking volumes within LodgeLink, and strong contract wins in our Workforce Solutions business unit that have increased contracted revenue by over $55 million so far this year. Total adjusted EBITDA for the quarter was $13.3 million, an increase of 34% from Q1 2020. We also reported positive earnings of $2.7 million in the quarter, or $0.05 per share on a diluted basis, compared to a net loss of $0.1 million in the comparative quarter. In the MSS segment, rental revenue grew to $13.9 million, or by 56% from Q1 2020, which is a fifth consecutive quarterly record. Our first quarter results include a full three months of contribution from Vanguard Modular, which we acquired in November of 2020, the integration of which is ongoing.
Toby Labrie: Thanks, Trevor. Black Diamond reported consolidated revenue of $65.8 million in the first quarter, and total adjusted EBITDA of $13.3 million, an increase of 46% and 34% from the comparative quarter respectively. Net income for the quarter was $2.7 million or $0.05 per diluted share, compared to a net loss of $0.1 million in Q1 2020. Adjusted EBITDA for MSS was $10.3 million up 124% from the same quarter last year, and total revenue of $35.2 million was up 113% from the comparative quarter. This is attributable to continued growth in all revenue streams. As mentioned, the first quarter 2021 results also include full quarters growth of contribution from our acquisition of Vanguard Modular in the U.S. Adjusted EBITDA for Workforce Solutions was $6.1 million, down 22% from the same quarter last year. WFS revenue of $30.5 million was up 7% from the comparative quarter, mainly due to positive contribution from used fleet sales in the quarter. Excluding these assets sales, overall WFS segment performance should continue to see a sequential improvement on the strength of recently awarded and expanded contracts. Total administrative costs for the quarter of $10.1 million were up 29% from the comparative quarter, primarily due to an increase in personnel costs, including the addition of Vanguard personnel. There has also been a steady increase in staffing levels within LodgeLink as we remain focused on growing this platform. Total administrative costs as a percentage of revenue of 15% was down two percentage points from 17% in the comparative quarter. At the end of the quarter, net debt of $169 million was down from $172 million in Q4 2020. Excess borrowing capacity under the company's asset-based credit facility was approximately $87 million, and the value of eligible rental fleet used to calculate the company's borrowing base was approximately $290 million at the end of the quarter. The company exited the quarter with a net debt to adjusted EBITDA ratio of 3.8, primarily due to the funding of the acquisition of Vanguard. Net debt to adjusted EBITDA, including Vanguard's trailing 12-month results was 3.2, and we expect this leverage ratio to be back within our target range of two to three times by the end of 2021. Net CapEx as of March 31, 2021 was approximately $14 million, the majority of which is ongoing MSS fleet growth across North America with a particular focus in U.S. We're seeing ample opportunities for organic growth in MSS and expect organic fleet growth to drive continued MSS rental revenue growth throughout the year, consistent with our stated strategies.
Operator: Thank you. We'll now begin the question-and-answer session. . The first question is from Frederic Bastien with Raymond James. Please go ahead.
Frederic Bastien: Good morning.
Trevor Haynes: Good morning.
Toby Labrie: Good morning.
Frederic Bastien: Guys just like to get a bit more color on how the LodgeLink platform is doing. I know you got all the stats available in MD&A. But I understand that you were hoping for this platform to be breakeven kind of at around end of Q2. So I'm just wondering if I can get an update there? Thank you.
Trevor Haynes: Yes, thanks for the question, Frederic. Toby, do you want to give some color there?
Toby Labrie: Yes, absolutely. Frederic, that's good question. Our primary focus for LodgeLink is ongoing net revenue. We believe there is tremendous value growth created there. We do see a path to breakeven. And we see that in the near-term. We're not currently breaking even with LodgeLink, but we do expect to see that in 2021 as our margins continue to improve with increased booking volumes on the platform.
Frederic Bastien: Okay. Thanks for that. Second question relates to, I guess there was some activity in the space United Rental acquiring General Finance Corporation, or at least they announced that mid-month last April. Wondering, if I can get some color on your thoughts for the industry in general and whether there's any implications for Black Diamond?
Trevor Haynes: Yes, it's a good question. Obviously, we're paying attention to the transactions in and around our MSS business. We've seen consolidation accelerating over the last couple of years with the WillScot platform acquiring a number of larger players, such as ModSpace, and more recently combining with Mobile Mini, and then United Rental Corp acquiring General Finance or announcing the intent to acquire. We're certainly paying attention to the multiples of EBITDA being paid. And note that they're considerably higher than the multiple on the Black Diamond platform. But generally speaking from a competitive perspective, we see the consolidation as being positive at least that's been the trend to this point. We're seeing rates improving across the marketplace. We're of the mind that the end-markets want competition and so leaves a pathway for us to continue to grow our platform and to potentially increase the pace of our expansion with some inorganic transactions ourselves.
Ted Redmond: No, I concur with your comments, the WillScot acquisitions resulted in fewer large competitors and we've generally seen rate increases across the business both as a result of the consolidation, but also probably just more generally because of this strong industry drivers including the economy and also including in our business space, additional space needed for COVID.
Frederic Bastien: Okay, but I understand that, I mean, just wondering to know if your asset base currently overlaps with that of General Finance. I understand they run this Pac-Van division. So wondering if there's any overlap there. And just some basic understanding on how I mean United Rentals publicly traded. So I'm sure they're a disciplined bunch of guys, but I'm just wondering if you get some color there as well?
Trevor Haynes: Yes, when we look at the Modular Space marketplace in the U.S., there is a number of segment. Certainly, there is geographic segmentation, the way that the market is structured Pac-Van, and our BOXX Modular and Vanguard businesses have similar assets. But generally speaking, we've been focused on different regions within the U.S. So not a huge amount of overlap, but certainly in the same space. The other way we look at it is that there's the singlewide container and trailer rental business, which is more transactional, more of a volume business, more construction oriented, which we view that as the market that United Rental Corp is interested in. Our business is more focused on a more sophisticated asset mix, multi-sectional buildings, and markets such as education, government, larger commercial type of applications that require more of a skill set for the assembly, turnkey construction type of work around the buildings, et cetera. So we think, or we know that there's a difference between the higher volume transactional platforms that are being built versus our more sophisticated project oriented and larger asset complement. Do we like this space, because we feel that the higher touch part of the market, if you can perform offers a different competitive landscape, fewer competitors, and potential for stronger margins, when you take the blended services along with the asset rental plus, the larger multi-sectional assets tend to stay on rent for longer periods of time with our customers. And so when we look at the market proven through those couple of lenses, we view it as very constructive for our platform and our vision for what we're building.
Frederic Bastien: Great, thanks. That's great color. Last one for me. I mean, we've seen nice steady performance from MSS. And then I guess from my perspective, WFS met my expectations for Q1. But given the successes you've had adding more contracts to this division should we expect? Just curious how we should expect this particular segment to perform throughout the year? Should we see steady growth from the $6 million of EBITDA you reported? Or should we expect a bit of lumpiness given the timing of these contracts?
Trevor Haynes: Yes, good question. And that's an area we've been very focused on. We've been pleased with the performance and growth and diversity we've achieved with our MSS business. When we look at our strategies around our WFS business, what we've been working on over the last several years is to broaden out beyond Western Canadian oil and gas, build up a network within end markets such as mining, disaster recovery, government, et cetera. It takes time, all of these are longer sales cycle. And where we're today with the contract wins and what we're seeing in our marketplace, we're very constructive on our forward view of performance of WFS. It's inherently a project-oriented business. And as such, there is always a degree of lumpiness, but we think we'll be able to inform sort of less volatility based on the growing rental stream in behind these contracts we've been signing, and I'll get Mike Ridley, who leads our WFS business to add some color there. Over to you, Mike?
Mike Ridley: Thanks, Trevor. Hi, Frederic. Yes, we're really pleased with the strategy. We've been working hard on it for the last few years to really diversify our business and move away from the oil and gas sector, the mining sector into Eastern Canada. Construction government, we've partnered with a number of companies around disaster relief when those occurrences occur. We're on the heels of good contracts already in place with the Coastal GasLink that was - that continues on and we have assets deployed for Trans Mountain. And these contracts that are recently announced, so feel pretty good about the quarters ahead. And further to that, also our Australia business continues to perform very well. Also, strong space rentals business, education market, and a steady and good workforce market over there as well. So pleased with the progress we've made like the way the balance of the year looks.
Frederic Bastien: Okay, great. Thanks.
Trevor Haynes: To finish your question there, Frederic. In Q1, we did have the benefit of a larger asset sale to a customer who also took equipment on rental. As we move into Q2 and beyond, I think we'll see performance in line. But the mix of revenues with more, more rental and more contribution from multiple projects is what will show and then growth in the subsequent quarters as well.
Frederic Bastien: Got it. Thank you.
Trevor Haynes: Thank you.
Operator: The next question is from Brent Watson with Cormark Securities. Please go ahead.
Brent Watson: Hi, thanks. Yes, maybe to that point about Workforce, if you guys can characterize for us sort of a level of bidding activity going on now relative to where we might have been just sort of prior to COVID? And what kind of end users are kind of looking the most promising at this point?
Trevor Haynes: Yes, it's a good question. We did see things so often through the initial part of COVID. But our pipelines are looking quite robust with lots of different customer projects in different areas. And again, Mike, why don't you give some color there?
Mike Ridley: Sure. Yes, good question, Brent. The pipeline of activity continues to be good. I would say it's better than it was actually, even ahead of COVID. And with COVID, actually, it's created some opportunities for social distancing, in terms of how dorms are configured, as well as in the space rental side of the business, they have a requirement for additional space with more lunch rooms, et cetera. So yes, it's a pretty active market and in terms of the type of opportunities, it's certainly less than oil and gas. It's more a lot in the Eastern Canada mining sector. And as I touched on earlier, a fair bit of construction across the country with opportunities as well down into to the U.S. and Australia.
Brent Watson: Great. Thanks very much.
Operator: The next question is from John Gibson with BMO Capital Markets. Please go ahead.
John Gibson: Good morning all. First question is on MSS utilization, it's nice to see a continued trend upwards, I guess, in a perfect world, could utilization get to 100%? I mean, not that it will. But I'm just trying to wonder, or I'm just trying to get at like, how high could it move from here? Or is it or will it be sort of capped at a certain level?
Trevor Haynes: That's a good question. My view has always been that as you get up into the mid-80s, it becomes inefficient in that, we do have shorter-term transactional needs from our customers. And if we don't have the buildings on hand, then we're not able to service the customer and in fact, end up potentially losing that customer to a competitor simply because of availability of supply. So as we look at replenishing our fleets based on utilization, replenishing, as in adding additional capacity, we look for utilizations rising above 80%. And then of course, we also look at our trailing ROI, hurdle rate, and then look to it to add assets. So the system is fairly optimal right now in terms of utilization, we do have more fleet additions coming in Q2 and through to the end of the year consistent with our CapEx plan. But we were constrained internally, I guess just to make sure that we brought the Vanguard business on and we understood after taking on some debt to do that, how our cash flows were running, et cetera. So 100% is possible. That's unusual and not healthy for this type of rental business. Ted anything, you would add to those comments?
Ted Redmond: No, you covered it pretty completely there. I guess my only other comment would be, as Trevor said, 100% is possible, but it's very difficult because as assets come off rent, it can take a few weeks or a month to get them turned around and back on rent just because of the timing of our customers' needs. So where we don't want to get too much higher than, we're currently at. Some of our markets are higher, and some of them are slightly lower, because we've got numerous…
Trevor Haynes: Hello, Ted are you still there? No, we lost Ted there.
John Gibson: No worries. That was a great answer. I just had one more, it's around just WFS segment. I'm just wondering how much of those $56 million in contracts recently signed hit during the quarter versus what will sort of move into future quarters? If you could provide any sort of breakdown?
Trevor Haynes: Yes, it's a good question and important and understanding what happens next in our WFS business. Mike, can you sort of give some color on how those contracts roll out over the next while?
Mike Ridley: You'll see it's - you'll see some upfront like with trends and install parts of that will roll sort of into Q2 and some small rent, but the bulk of the revenue and rental revenue is sort of beyond Q2 into Q3, Q4 and even into next year.
John Gibson: Okay, great. I appreciate the color. I'll turn it back.
Trevor Haynes: A number of those contracts have up to 36-month rental commitments and behind them. So we're starting to build up our base recurring rental stream in our WFS business as those unutilized assets that some of which haven't worked for a number of years are going to work and will be generating recurring cash flow for us and that aside from the operational revenue will receive for positioning the assets which will show up in the near-term, those nice steady recurring monthly rental revenues is what we're really quite excited about as a new development.
John Gibson: Okay, great. Thanks again, I'll turn it back.
Trevor Haynes: Thanks, John.
Operator: The next question is from . Please go ahead.
Unidentified Analyst: Hi, good morning. I just had a question on LodgeLink. You put up some very impressive growth against just a really difficult macro backdrop this quarter. Why not invest more aggressively to turbo charge growth given how well the product is resonating with customers, just the size of the opportunity here? And do you think it makes sense at some point to bring in a third-party like a VC to help take this business to the next level? And as a means of highlighting the value that you guys are building here?
Trevor Haynes: Good question. In our view, if I break your question down. First off, yes, we're really pleased with the traction LodgeLink is getting in the context of the business travel industry, which at one point was down about 90% in terms of volumes, due to the pandemic. And even as of today continues to have headwinds. So in light of that, we think the growth that we're showing there is very meaningful, meaningful in terms of the adoption of the platform and the quality of the product, et cetera. To your second point, we don't feel that we have been constraining LodgeLink. We've been adding resources slightly faster, then we're seeing the volumes increase. It takes some time to convert a corporate customer into a user on the platform. And so we have a bit of visibility through how the pipeline works from initiating conversations, demos, et cetera and then running pilots and then beginning to onboard the internal users of our customers, which it already gives us the benefit of being able to gauge the pace at which we need to add to all of our teams, customer support, customer success, building and amend as well as product, et cetera. So we don't feel, we've been throttling the business back. And in fact, we have increased the headcount in LodgeLink as Toby mentioned. The third question, yes, I mean our intent is to generate as much value for the Black Diamond shareholders as possible in all of our businesses, including LodgeLink and we think there's a great deal of potential there, there's different ways that we can unlock that value. And we'll look at all of them. But in the near-term, what we need to do is continue to drive that volume growth and net revenue growth and as the business scales, it becomes more valuable. And then we can look at whether we need a strategic partner to help inform the best outcome in terms of performance or value of the business or any of a number of other means by which we can accomplish that over time.
Unidentified Analyst: Great. Thank you.
Trevor Haynes: Thank you.
Operator:  The next question is from Jeff Fetterly with Peters & Co. Please go ahead.
Jeff Fetterly: Good morning, guys. Just a question on CapEx. Whether it's the operational side of the platform or the balance sheet. What's your comfort level in pushing CapEx beyond the 35 number you've talked about?
Trevor Haynes: That's a good question. In CapEx, or capital allocation, we're looking at a number of factors. Certainly debt levels, cash flows, how contracted the forward cash flows are, et cetera. So what we're seeing on the platform right now is very positive from what our expectations had been at this point. However, we've not allocated the full $35 million at this point and also with the WFS asset sale in Q1, we're running stronger than we had anticipated on at fleet sales, and so it gives us some variability when we look at net CapEx to support the business. And Toby, any other thoughts there?
Toby Labrie: Yes, I just have we've been trending to get back to our target leverage ratios more quickly than we had originally planned, doing that through a combination of modest debt repayment. And as Trevor mentioned, starting to allocate more and more quickly our capital program. And so that's increasing our EBITDA generation. We see that continuing to improve throughout the year. And so with that combination, we think that on a net CapEx basis, as Trevor mentioned, we have some headroom and potential opportunity to continue to deploy more capital. But primarily, we're focused on that leverage coming back down. And we think we'll get there more quickly than we first anticipated.
Jeff Fetterly: And how much of the $35 million is unallocated at this point?
Toby Labrie: We probably have about a third of that unallocated.
Jeff Fetterly: Okay. So do you expect that that will be spoken for fairly quickly or could it take a couple more quarters to get full visibility over your program?
Toby Labrie: I think we'll have visibility just as we go into Q3. Typically, demand in our system slows going into the winter months, as in the Canadian markets MSS sees a softer period in Q1, as construction starts usually coincide with props coming out of the ground. And when we look even in the U.S. with the Vanguard System, within Black Diamond now, the majority of their business is school oriented. And so the big push for school additions, et cetera is around this time of year. So it's usually a Q2, Q3 CapEx demand. So, based on those factors, we would expect that if not all, the majority of our CapEx will have been allocated before the end of the summer. That doesn't mean it's spent. But that has been allocated. And then we'll take deliveries through to early fall, and then it'll taper off.
Jeff Fetterly: Just one quick question on VAPS, so the comment in the MD&A about the differential between VAPS penetration on Vanguard versus BOXX. Is there anything structural on the Vanguard side that would limit VAPS from gravitating over time towards the BOXX level?
Trevor Haynes: I don't know if Ted's back on the call, but…
Ted Redmond: Yes, I am.
Trevor Haynes: Yes, so I was just going to point out the difference of the education market and assets for VAPS, but I'll turn it over to you, Ted.
Ted Redmond: Okay, I think there is a difference between the businesses. The education market certainly would have different VAPS and probably maybe less VAPS. But the same I think philosophy applies, where we can give our customers one-stop shopping, and easier access to outfitting their units. We've been successful at that. So there's definitely some opportunities within Vanguard to increase the VAPS usage in that market. And then there's also still opportunities across the rest of the MSS platform to increase VAPS adoption and also the come-up with new VAPS products that we can offer our customers. So we expect continued growth on the VAPS side of both on a percentage basis and a dollar basis over time.
Jeff Fetterly: Is there an internal stretch target that you have in mind for where you think VAPS could go?
Ted Redmond: I mean, we're setting our VAPS targets on an annual basis. So we're definitely targeting probably over 10% VAPS growth per year, internally on, like on an absolute dollar basis. So I guess that's about, Trevor, if you have maybe any additional color on that?
Trevor Haynes: No, I mean, notionally trying to get our VAPS and operational revenues on ratios that torque up the return on the investment in the asset itself is the overriding philosophy, and then convenience to our customer that we can include other items that they require, that they would have to source elsewhere. And so in my mind, if we can get ourselves between 15% and 20% of our rental revenue, and it's going to differ by market, and by product type. So, we don't dictate through the system, we ask our regions what else could we add that will be convenient to our customer that that connects to our main business, which is renting the buildings.
Jeff Fetterly: Thanks for the color. Appreciate it.
Trevor Haynes: Thanks, Jeff.
Operator: The next question is from Greg Bennett, Private Investor. Please go ahead.
Greg Bennett: Congratulations on another good quarter. If the Goldboro contract is awarded, would that change your revenue forecast for 2021? Or is that all pushed into 2022? And are is there any, is there any CapEx spending that you'd be doing this year in order to fulfill that contract?
Trevor Haynes: Yes, our current view right on Goldboro, if it does achieve final investment decision on June 30, its which is the date that's been put out by their proponent Pieridae, that the revenue in this calendar year would be fairly light for us, in that the front end of the project entails the site Geotech and initial permitting and then we need to do the civil works to prepare the site where the cap will go and so we may have some operational revenue if we can get all of the permits in place and get to work on the site. But very little by way of assets being on rent. And as far as CapEx for the year, if anything, it would be very light based on what's involved in the first phases.
Greg Bennett: Okay. Switching over to LodgeLink, I keep track of your customer count, I guess and your property count. I'm wondering, you went from 582 in the fourth quarter to 662 for customers and properties went from 2,500 to 3,600. Do you have any guesstimate or estimate of what the size of that market could be as far as customer count and/or property count?
Trevor Haynes: That's a good question. Usually, we look at the size of the market, as tracked by the Global Business Travel Association or GBTA, and they track a sub sector called ERM, which is essentially crew travel. And they track globally about $380 billion of spend. And that's the trade between the buyers of travel services, rooms, airplane seats, et cetera. And so when we look at the addressable market, even in North America, over $60 billion is pre-pandemic numbers. It's a very sizable market, and we've got lots of room. When we think about the number of properties, it becomes a bit more difficult to zero that in, I guess technically, any hotel and any camp or lodge in North America is a potential property, but of course, the ones that are most suitable for crew travel sort of narrows as down into certain brands and certain properties. I don't know Patrick Melanson, our Chief Technology Officer is on the call and I don't know if this is a data point you've seen or that our team has been focused on Patrick.
Patrick Melanson: Yes, I can add a little bit of color on that Trevor and the properties that we're enlisting for quality control purposes, we want to be cautious we have our customers stay in let's call them very suitable properties. So we stick to going after brands. So think about the large brands that we're all familiar with. And they have sub brands that are germane to the worker, crew traveler. So we focus on those. And those there will be a limited capacity. I don't have that number here. But they certainly have many, many properties across North America and beyond. With respect to the smaller properties that are sometimes not affiliated. We're cautious with those because without the quality control of a brand, we'd be at risk of putting our gas in two properties that might be not as desirable, which not what we want to do. So there is a number we can get to that for the brands for North America, perhaps for a future disclosure.
Greg Bennett: This would be like the Microtel's or the Hilton Tru or?
Patrick Melanson: Correct, correct.
Greg Bennett: Yes, all right. And then from a customer, I'm sorry, go ahead.
Patrick Melanson: Yes, on the customer side, we have a very good strategy going after different verticals and by expansion geographies. We all know, we started in Western Canada, which is where our bread and butter was in our basket of knowledge is, but now we've gone back across the North America to go after customers that have crews, that do work in different verticals beyond construction, mining and oil and gas. There's other verticals. And we're finding companies with crews of five or 50, or will take many, many, that's our differentiator. And we've yet to scratch the surface in the U.S. as far as I'm concerned, because we've been concentrated mostly in the Southern part of the U.S.
Trevor Haynes: In terms of numbers, I think these companies it could be customers, I mean, it would be in the 1000s. We've got a long ways to go.
Greg Bennett: Okay. Have you seen any new competition under that market? Or I guess you have the first mover advantage, and what other people you're not, you're growing as fast as you can. And there's no constraint I guess that you have is that correct?
Trevor Haynes: Well, what we're addressing is the inefficiency and the complexity of crew travel from a number of different perspectives, a lot of what we do is efficiency-oriented software for tracking costs against AFEs purchase orders, et cetera. Speeding up the internal administration and cost control for our customer, so they can turn around more quickly and invoice their customers. So yes, the search and book is a component, but it isn't the differentiator. So really, if we look at the space, yes, there's been travel agencies and booking tools that have been involved in helping these companies book into hotels or onto airplanes. But looking at the whole integrated travel cycle, and trying to bring efficiency through digital tools. We think we're one of the few focused on this particular part of the travel - business travel world. So I wouldn't say there aren't others with traditional offerings or others that are on the peripheral of what we consider our core. But at the moment, we think, we've got fairly little competition for the core target of what LodgeLink is going after.
Greg Bennett: Thank you very much. Thanks for a great job. I appreciate, all you guys are doing. Thanks.
Trevor Haynes: Thank you. Thanks for your questions.
Operator:  Gentlemen, there are no more questions registered at this time. I'd like to turn the conference back over to Mr. Jason for any closing remarks.
Jason Zhang: Thank you all for joining and stay safe. We'll talk to you next quarter.
Trevor Haynes: Thank you.
Operator: This concludes today's conference call. You may disconnect your lines. Thank you for participating and have a pleasant day.